Operator: Hello. This is the Chorus Call conference operator. Thank you for standing by. Welcome to Boston Pizza's Third Quarter 2025 Conference Call. [Operator Instructions] The conference is being recorded on November 10, 2025. [Operator Instructions] At this time, I would like to turn the conference over to Michael Harbinson, Chief Financial Officer. Please go ahead.
Michael Harbinson: Thank you, and welcome to the call, everyone. Today, we'll be discussing the 2025 Third Quarter Results for both Boston Pizza Royalties Income Fund, or the Fund, and for Boston Pizza International, or BPI. For complete details on our financial results, please see our third quarter materials filed earlier today on SEDAR+ or visit the Fund's website at bpincomefund.com. Should you require additional information after the call, you can reach out to our Investor Relations e-mail address at investorrelations@bostonpizza.com. The Fund is a limited purpose open-ended trust established under the laws of British Columbia to acquire indirectly certain trademarks and trade names used by BPI in its Boston Pizza Restaurants in Canada. BPI pays royalty income and distribution income to the Fund based on franchise revenues of Royalty Pool restaurants. For a complete description of the Fund and its business, please see the annual information form dated March 28, 2025, which was filed on SEDAR+. Before I turn the call over to Jordan Holm, President of BPI, I would like to note that certain information in the following discussion may constitute forward-looking information. For a more complete definition of forward-looking information and the associated risks, please refer to the Fund's management discussion and analysis issued earlier today. Forward-looking information is provided as of the date of this call, and except as required by law, we assume no obligation to update or revise forward-looking information to reflect new events or circumstances. And with that, I will now turn the call over to Jordan. Jordan?
Jordan Holm: Thank you, Michael, and welcome, everyone, to Boston Pizza's Third Quarter Investor Conference Call. Today, I'll be discussing our Third Quarter Results and share a brief outlook. Michael will summarize our key financial highlights. And as usual, we'll leave time for your questions at the end of today's call. Boston Pizza delivered its third consecutive quarter of record franchise sales, continuing the strong performance seen throughout the year. These results show that our current promotions remain effective in driving guest engagement and that our takeout and delivery business continues to contribute meaningfully to sales. The Fund posted franchise sales from restaurants in the Royalty Pool of $248.9 million for the quarter and $731.9 million year-to-date, representing increases of 4.3% and 4.9%, respectively, versus the same periods 1 year ago. Same-restaurant sales was 4.1% for the quarter and 5.0% year-to-date. Same-restaurant sales for the quarter and year-to-date was principally due to the continued momentum in takeout and delivery, effective promotional initiatives and favorable comparisons to a softer performance in the same period in the prior year. From a marketing standpoint, the third quarter of 2025 included a summer promotion in partnership with Live Nation, launching a national giveaway of over 400 concert tickets alongside a refreshed main menu. Our popular Kids Cards promotion made a return in the third quarter as well with families receiving a card for 5 free kids meals in exchange for a $5 donation to the Boston Pizza Foundation. This promotion raised over $1 million in total for local charities. Near the end of the quarter, the Kids Eat Free promotion engaged families further by offering one free kids meal per child with each qualifying purchase. With the transition into the fall season, we introduced a holiday-inspired menu alongside a game day menu for football fans, offering new eats and drinks designed to spark inspiration for the holiday and for football enthusiasts. Our ongoing lunch and late-night promotions will also continue into the fourth quarter with guests responding positively to all areas of our promotions. In terms of restaurant development, 16 Boston Pizza restaurants were renovated during the quarter and 31 restaurants were renovated year-to-date. We have several exciting initiatives underway for the fourth quarter of 2025 to maintain strong sales growth and guest engagement, which I'll share later in the call. But first, let's hear from Michael about the Fund's financial performance. Michael?
Michael Harbinson: Thank you, Jordan. The Fund posted royalty income of $10 million for the quarter and $29.3 million year-to-date compared to $9.5 million and $27.9 million, respectively, for the same periods 1 year ago. The Fund posted distribution income of $3.3 million for the quarter and $9.6 million year-to-date compared to $3.1 million and $9.2 million, respectively, for the same periods 1 year ago. Royalty Income and distribution income for the quarter and year-to-date were based on 372 Boston Pizza Restaurants in the Royalty Pool that reported franchise sales of $248.9 million for the quarter and $731.9 million year-to-date. For the same periods in 2024, Royalty Income and distribution income were based on the Royalty Pool of 372 Boston Pizza Restaurants reporting franchise sales of $238.6 million and $697.4 million, respectively. The Fund's net and comprehensive income was $10.4 million for the quarter compared to $9.4 million for the third quarter of 2024. The $1 million increase in the Fund's net and comprehensive income for the quarter compared to the third quarter of 2024 was primarily due to a $0.6 million increase in Royalty Income and distribution income, a $0.3 million increase in fair value gain and a $0.3 million decrease in income tax expense, partially offset by a $0.2 million increase in net interest expense. The Fund's net and comprehensive income was $31.1 million year-to-date compared to $25.3 million year-to-date in 2024. The $5.8 million increase in the Fund's net and comprehensive income year-to-date compared to the same period in prior year was primarily due to a $5.1 million increase in fair value gain, a $1.8 million increase in Royalty and Distribution Income and a $0.1 million decrease in administrative expenses, all partially offset by a $1.2 million increase in income taxes expense. The Fund's cash flows generated from operating activities for the quarter was $10.6 million compared to $10 million in the third quarter of 2024. The increase of $0.6 million was primarily due to an increase in Royalty and Distribution Income of $0.6 million and an increase in changes in working capital of $0.1 million, partially offset by an increase in income taxes paid of $0.1 million. Cash flows generated from operating activities year-to-date was $29.8 million compared to $28.7 million in the same period in 2024. The increase of $1.1 million was primarily due to an increase in Royalty Income and distribution income of $1.8 million, a decrease in administrative expenses of $0.1 million, partially offset by an increase in income taxes paid of $0.5 million and a decrease in changes in working capital of $0.3 million. While net and comprehensive income or loss and cash flows from operating activities are both measures under IFRS accounting standards, or IFRS, the Fund is of the view that net income or loss and cash flows from operating activities do not provide the most meaningful measurement of the Fund's ability to pay distributions. Net income contains noncash items that do not affect the Fund's cash flow, whereas cash flow from operating activities is not inclusive of all of the Fund's required cash outflows and is therefore not indicative of the cash available for distributions to unitholders. Noncash items include the fair value adjustments on the investment in Boston Pizza Canada Limited Partnership, the Class B unit liability, interest rate swaps and changes in deferred income taxes. Consequently, the Fund reports the non-IFRS metrics of distributable cash and payout ratio to provide the investors with, in the Fund's opinion, more meaningful information regarding the Fund's ability to pay distributions to unitholders. The Fund generated distributable cash of $8.5 million for the quarter compared to $8.1 million for the same period in prior year. The increase in distributable cash of $0.4 million or 4.9% was primarily due to an increase in cash flows generated from operating activities of $0.6 million, partially offset by higher Class B unit entitlement of $0.1 million and higher interest paid on debt of $0.1 million. The Fund generated distributable cash of $23.8 million year-to-date compared to $22.9 million for the same period in 2024. The increase in distributable cash of $0.9 million or 3.8% was primarily due to an increase in cash flows generated from operating activities by $1.1 million, partially offset by higher Class B unit entitlement of $0.1 million and higher interest paid on debt of $0.1 million. The Fund generated distributable cash per unit of $0.40 for the quarter and $1.118 year-to-date compared to $0.381 and $1.077, respectively, for the same periods in 2024. The increase in distributable cash per unit of $0.019 or 5% for the quarter and $0.041 or 3.8% year-to-date was primarily attributable to the increase in distributable cash outlined above. The Fund's payout ratio for the quarter was 88.8% compared to 88.9% in the third quarter of 2024. The decrease in the Fund's payout ratio for the quarter was due to distributable cash increasing by $0.4 million or 4.9%, partially offset by distributions paid increasing by $0.3 million or 4.7%. Year-to-date, the Fund's payout ratio was 93.5% compared to 93.8% year-to-date in 2024. The decrease in the Fund's payout ratio year-to-date was due to distributable cash increasing by $0.9 million or 3.8%, partially offset by distributions paid increasing by $0.7 million or 3.4%. On a trailing 12-month basis, the payout ratio was 99.4% as at September 30, 2025. On November 7, 2025, the trustees of the Fund approved a cash distribution for the period of October 1, 2025 to October 31, 2025, of $0.12 per unit, which will be paid on November 28, 2025, to unitholders of record at the close of business on November 21, 2025. The trustees' objective in setting a monthly distribution amount is that it be sustainable. The trustees will continue to closely monitor the Fund's available cash balances given the fluctuating economic outlook. And with that, I will turn the call back over to Jordan for more on the outlook. Jordan?
Jordan Holm: Thank you, Michael. With the end of 2025 in sight, the fourth quarter has been off to a strong start with the launch of the game day menu to align with the football season, offering great value drinks and food on each game day. This promotion was coupled with a weekly giveaway with prizes such as free food and football merchandise, alongside extensive marketing campaigns targeting at boosting engagement with football fans. This promotion will run through the regular football season, offering guests an exciting viewing experience with a chance to win great prizes. In addition, our 2025 holiday campaign launched last week, showcasing an array of new favorites and innovative dishes that inspire holiday cheer. The holiday menu features delectable options like Stuffed Crust Mozza Sticks, Crispy Chicken Vodka Penne, Garlic Shrimp Mac & Cheese, Prosciutto & Mushroom Pizza, Fa-la-la-la Lava Cake and new holiday drinks such as the Frosty Hawaiian, Espresso and Mistletoe Martinis and Mrs. Claws Fishbowl. Our third quarter franchise sales have remained strong by offering guests value, quality and convenience through both on-premise and off-premise channels. We have a proven track record of adapting to evolving economic conditions and overcoming operational challenges, while remaining focused on proactively driving sales and deepening guest loyalty and protecting the profitability of Boston Pizza restaurants. Combined with a strong national presence and trusted brand, Boston Pizza is well positioned for sustained growth throughout 2025 and beyond. With that, I'd like to begin the question-and-answer session. Over to you, operator.
Operator: [Operator Instructions] Our first question today is from Ed McCauley with [indiscernible].
Unknown Executive: Could you please comment on sales during the World Series. I assume that this is after the quarter end, but you would have had very good attendance during this exciting World Series.
Michael Harbinson: Yes. Thank you, Ed. Appreciate the question. And you're right. Most of the benefit of the strong post-season run that the Blue Jays went on did happen after the end of the Q3 period. But as an official partner of the Toronto Blue Jays and as their official sports bar, we definitely saw a benefit in terms of guest visitation and also off-premise and online ordering in line with the game days, both for the Yankees Series, the Mariners Series and of course, the World Series against the Dodgers, 2 of those series going to the seventh game, which really brings fans out to share those experiences together. So a great call out in terms of a contributor to the fourth quarter results so far. And definitely, we're a proud Canadian company. It was great to see a Canadian team take it as far as they could. We would have liked a different ending, but all other parts of that experience were wonderful for baseball fans and for Boston Pizza Restaurants. So thank you for that question.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Jordan Holm for any closing remarks.
Jordan Holm: Thank you, operator. And since there are no further questions, we'd like to thank you for taking the time to join us today and invite you to celebrate the holiday season at your local Boston Pizza. We also look forward to speaking with you all again at our fourth quarter conference call in February 2026. So thank you, everyone, and enjoy the rest of your day.
Michael Harbinson: Thanks everyone.
Operator: This brings to an end today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.